Operator: Good day, and welcome to the Monster Beverage Company's Second Quarter 2025 Conference Call. [Operator Instructions] Please also note today's event is being recorded. I would now like to turn the conference over to Hilton Schlosberg, Chief Executive Officer. Please go ahead.
Hilton H. Schlosberg: Good afternoon, ladies and gentlemen. Thank you for attending this call. I'm Hilton Schlosberg, Vice Chairman and Chief Executive Officer. Also on the call are Tom Kelly, our Chief Financial Officer; Emelie Tirre, our Chief Commercial Officer; Rob Gehring, our Chief Growth Officer; Guy Carling our President of EMEA and Oceania, South Pacific; and Mark Astrachan, our Senior VP of Investor Relations and Corporate Development. Mark will now read our cautionary statement.
Mark Astrachan: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial preference and trends. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties many of which are outside the control of the company that may cause actual results to differ materially from the forward- looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission including our most recent annual report on Form 10-K filed on February 28, 2025, and quarterly report on Form 10-Q including the sections contained therein entitled Risk Factors and Forward- Looking Statements for a discussion on specific risks and uncertainties that may affect our performance. The company assumes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. I would also like to note that an explanation of the non-GAAP measures which may be mentioned during the course of this call, is provided in the notes in the condensed consolidated statements of income and other information attached to the earnings release dated August 7, 2025. A copy of this information is also available on our website, www.monsterbevcorp.com in the Financial Information section. Please also note that scanner data, which was previously provided on earnings calls is now included in an exhibit filed with our 8-K. We point out that certain market statistics that cover single months or 4-week periods may often be materially influenced positively or negatively by promotions or other trading factors during those periods. I would now like to hand the call over to Hilton Schlosberg.
Hilton H. Schlosberg: Good afternoon, and thank you for joining us. We are pleased to report yet another quarter of strong financial results and cash generation. In fact, our second quarter net sales of $2.11 billion are a quarterly record that crossed the $2 billion threshold for the first time in the company's history, with net sales increasing 11.1% compared with the 2024 second quarter. In addition, the percentage growth rates in reported gross profit, operating income, net income, and earnings per share all outpaced our growth rate in net sales. Overall, the global energy drink category remains healthy with accelerating growth. Household penetration continues to increase in the energy drink category, driven by product functionality and lifestyle positioning, diverse offerings that appeal to an increasingly broad and loyal consumer base and affordable value offerings in addition to premium offerings. In the United States, according to Nielsen, for the recently reported 30-week period through July 26, 2025 sales in dollars in the energy drink category, including energy shots, for all outlets combined, namely convenience, grocery, drug, mass merchandisers, increased by 13.2% versus the same period a year ago. Trends in our U.S. business remains solid with continued acceleration from early 2025. In EMEA, the energy drink category according to Nielsen for our tracked markets for the recently reported 30-week period, which differ from country to country, grew at approximately 15.4% versus the same period last year, FX neutral. In APAC, the energy drink category according to Nielsen, Circana and INTAGE for our tracked channels for the recently reported 30- week period which differ from country to country, grew at approximately 20.9% versus the same period last year, FX neutral. In LATAM, the energy game category according to Nielsen for our track markets for the 3 months ended June 30, 2025, grew at approximately 13.9% versus the same period last year. Growth remains healthy in local currencies across EMEA, Asia Pacific and Latin America. Our net sales to customers outside the United States rose to approximately 41% of total reported net sales in the 2025 second quarter. We believe our portfolio of energy drink offerings are well positioned to participate in the growing global energy drink category, appealing to a broad range of consumers across geographies, price points and need states. Innovation continues to be an important contributor to category growth but we maintain a robust innovation pipeline. Our marketing messaging continues to resonate globally. Highlights from the second quarter include the continued successes of our sponsorship and endorsement activities, including our McLaren Formula 1 team sponsorship, UFC and MMA Summer X Games, Supercross and Motocross and Stagecoach music festival, among others. Relatedly, we successfully introduced Monster Energy Lando Norris Zero Sugar in select EMEA markets in the second quarter with a broader introduction planned for the second half of the year. As an aside, the McLaren Formula 1 team won again this past weekend. Building on the successes of our $1 billion Ultra brand family, we've introduced a new visual brand identity to differentiate and enhance visibility in store. In particular, we have established new merchandising platforms, including in-store coolers around a Zero Sugar flavors unleased proposition. This will be followed by digital media campaign in the third quarter adding to the most recent viral explosion on social media for our flagship Zero Ultra energy drink. We also have further Ultra innovations planned, including the launch of Ultra Wild Passion in the fourth quarter. During the second quarter of 2025, the impact of tariffs on our operating results was immaterial. In general, while our flavors and concentrates are manufactured both in the U.S. and Ireland at the present time, production of our finished products takes place locally in our respective markets. Despite the immaterial impact on our business in the second quarter, the tariff landscape continues to be complicated and dynamic. We import some raw materials into the United States, export certain raw materials for local markets and export limited quantities of finished products. We do not believe, based on our business model that the current tariffs will have a material impact on the company's operating results. However, we expect it will have a modest impact in the third quarter of 2025. We will continue to recognize tariffs on aluminum through the higher Midwest premium and continue to implement mitigation strategies across the business where possible. Turning to our Q2 2025 results. Net sales were $2.11 billion for the 2025 second quarter or 11.1% higher than net sales of $1.9 billion in the comparable 2024 second quarter. Net changes in foreign currency exchange rates had an unfavorable impact on net sales for the 2025 second quarter of $5 million. Net sales on a foreign currency adjusted basis increased 11.4% in the 2025 second quarter. Net sales, excluding the Alcohol Brands segment on a foreign currency adjusted basis increased 11.8% in the 2025 second quarter. Excluding the Alcohol Brands segment from our reported results is purely illustrative as it remains part of ongoing operations. Net sales for the company's Monster Energy Drinks segment increased 11.2% to $1.94 billion for the 2025 second quarter from $1.74 billion for the 2024 2nd quarter. Net sales on a foreign currency adjusted basis for the Monster Energy Drinks segment increased 11.4% in the 2025 second quarter. Net sales for the company's Strategic Brands segment increased 18.9% to $129.9 million for the 2025 second quarter from $109.2 in the 2024 second quarter. Net sales on a foreign currency adjusted basis for the Strategic Brands segment increased 19.1% in the 2025 second quarter. Net sales for the Alcohol Brands segment decreased 8.6% to $38 million for the 2025 second quarter from $41.6 million in the 2024 second quarter. Gross profit as a percentage of net sales for the 2025 second quarter was 55.7% compared with 53.6% in the 2024 second quarter. The increase in gross profit as a percentage of net sales for the 2025 second quarter was primarily the result of pricing actions, supply chain optimization and lower input costs, partially offset by geographical sales mix and higher promotional allowances. Distribution expenses for the 2025 second quarter were $82 million or 3.9% of net sales compared with $87.4 million or 4.6% of net sales in the 2024 second quarter. Selling expenses for the 2025 second quarter were $196.9 million or 9.3% of net sales compared with $192.1 million or 10.1% of net sales in the 2024 second quarter. General and administrative expenses for the 2025 second quarter were $265.9 million or 12.6% of net sales compared with $212.8 million or 11.2% of net sales for the 2024 second quarter. Stock-based compensation was $33.2 million for the 2025 second quarter compared with $18.8 million in the 2024 second quarter. The increase in stock-based compensation for the 2025 second quarter included $7.9 million related to certain equity awards granted late in the 2025 first quarter that contained a new retirement clause. In addition, general and administrative expenses for the 2025 second quarter included $13.8 million of litigation provisions. Operating expenses for the 2025 second quarter were $544.8 million compared with $492.3 million in the 2024 second quarter. Adjusted operating expenses exclusive of the Alcohol Brands segment, the litigation provisions and the change in stock-based compensation for the 2025 second quarter were $497.7 million compared with $459.3 million in the 2024 second quarter. Operating expenses as a percentage of net sales for the 2025 second quarter were 25.8% compared with 25.9% in the 2024 second quarter. Adjusted operating expenses as a percentage of net sales for the 2025 second quarter were 24.0%. Operating income for the 2025 second quarter increased 19.8% to $631.6 million from $527.2 million in the 2024 comparative quarter. Adjusted operating income for the 2025 second quarter, exclusive of the Alcohol Brands segment, the litigation provisions and the change in stock-based compensation increased 21.5% to $667.9 million from $549.7 million in the 2024 second quarter. The effective tax rate for the 2025 second quarter was 24.4% compared with 22.9% in the 2024 second quarter. The increase in the effective tax rate was primarily attributable to higher income taxes in foreign tax jurisdictions. Net income for the 2025 second quarter increased 14.9% to $488.8 million from $425.4 million in the 2024 second quarter. Net income for the 2025 second quarter, exclusive of the Alcohol Brands segment, the litigation provisions and the change in stock-based compensation increased 16.7% to $516.5 million from $442.7 million in the 2024 second quarter. Net income per diluted share for the 2025 second quarter increased 21.1% to $0.50 from $0.41 in the second quarter 2024. Net income per diluted share for the 2025 second quarter, exclusive of the litigation provisions and the accelerated stock-based compensation increased 25.2% to $0.51 from $0.41 in the second quarter of 2024. Net income per diluted share for the 2025 second quarter, exclusive of the Alcohol Brands segment, the litigation provisions and the accelerated stock-based compensation increased 23.0% to $0.52 from $0.43 in the second quarter of 2024. Turning now to the U.S. and North America sales. Net sales in the U.S. and Canada in the 2025 second quarter increased by 8.6% in dollars over the same period in 2024. Growth for the quarter was led by the Monster Energy Ultra family. In the United States, according to the Nielsen reports for the 30 weeks ended July 19, 2025, the Monster Energy Ultra Family was the third largest stand-alone energy drink brand in dollar sales in the energy drink category after Red Bull and Monster for all outlets combined, namely convenience, grocery, drug and mass merchandisers, including energy shots. Innovation continues to drive performance with Monster Energy Ultra Blue Hawaiian and Monster Energy Ultra Vice Guava contributing to the Monster Energy Ultra brand family growth. Our 2 Monster Killer Brew SKUs and Juice Monster Viking Berry also contributed to U.S. growth. Our revenue growth management team remains focused on long-term value creation opportunities and trade spend optimization. The pricing of energy drinks in the United States has increased at a slower rate than other NARTD beverages in the last decade, and we believe this provides for a favorable value proposition with consumers. To that end, we have initiated discussions with our bottlers and customers and are planning for selective price adjustments by packaging channel as well as reductions in promotional allowances in the United States effective during the 2025 fourth quarter. As communicated at our annual meeting, we're planning to launch 2 new Full Sugar Monster Energy flavors, Monster Energy Electric Blue and Monster Energy Orange Dreamsicle in the fall. We are also planning to introduce Juiced Monster Bad Apple, which was introduced in select EMEA markets in 2024 as well as Monster Energy Ultra Wild Passion in the fall. Additionally, we are planning a strategic launch Monster Energy Lando Norris Zero Sugar in Texas and Nevada in California leveraging the Formula 1 races in the United States later this year. Turning to sales internationally. Net sales to customers outside the United States on a foreign currency adjusted basis, increased 16.5% to $869.3 million in the 2025 second quarter. Reported net sales to customers outside the United States were $864.2 million, 41% of total net sales in the 2025 second quarter compared to $746 million or 39% of total net sales in the corresponding quarter in 2024. Foreign currency exchange rates had a negative impact on net sales in U.S. dollars of approximately $5 million in the 2025 second quarter. Turning to EMEA. Our net sales in EMEA in the 2025 second quarter increased by 26.8% in dollars and increased 23.7% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales for the 2025 second quarter was 36.1% versus 34.7% in the same period in 2024. Energy drink category growth remains healthy with Monster outperforming the category in many EMEA markets. According to Nielsen, in all measured channels in Western Europe, excluding Iceland, the Monster Energy brand is now the seventh largest FMCG brand by value. According to Nielsen, for the most recent 13-week period, the Monster brand is now the #1 energy drink in Norway. Our affordable brands continue to grow, gain share in their respective markets. Within EMEA, we are also seeing growth of Fury in Egypt and Predator in Kenya and Nigeria. Innovation continues to drive performance in the region with Juice Monster Rio Punch and Monster Energy Ultra Strawberry Dreams, contributing to the growth in the quarter. In addition, we launched Monster Energy Lando Norris Zero Sugar in 5 markets at the end of the second quarter. We will continue its roll out throughout the second half of 2025 in 33 additional markets in EMEA. We're especially excited about the launch of this product due to its unique package design, appealing melon [ user ] flavor and strong activation by our sales teams and our Coca-Cola bottling partners. We will be launching various Monster Energy strategic brands and affordable brand products in additional markets in EMEA throughout the rest of 2025, including the rollout of Monster Energy Valentino Rossi Zero Sugar in a number of countries. Turning to Asia Pacific. Net sales in Asia Pacific in the 2025 second quarter increased 11.6%, both in dollars and on a currency- neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales for the 2025 second quarter was 41.0% versus 45.4% in the same period in 2024. The decrease in gross profit margins as a percentage of net sales was primarily the result of higher promotional allowances and geographic sales mix. Net sales in Japan in the 2025 second quarter increased 6.1% in dollars and increased 1% on a currency-neutral basis. We are planning to launch 2 SKUs of Reign Storm in Japan in the 2025 third quarter. Net sales in South Korea in the 2025 second quarter increased 22.4% in dollars and increased 28.9% on a currency-neutral basis as compared to the same quarter in 2024. Net sales in China in the 2025 second quarter increased 19.5% in dollars and increased 20.2% on a currency-neutral basis as compared to the same quarter in 2024. Net sales in India in the 2025 second quarter increased 12.4% in dollars and increased 16.0% on a currency-neutral basis as compared to the same quarter in 2024. During the second quarter, sales growth of the Monster Energy brand remained solid with Predator growing meaningfully ahead of the energy drink category in part reflecting its ongoing rollout into new markets and increased production capacity with the Coca-Cola bottlers in India. Overall, we remain optimistic about the long-term prospects for our brands in Asia Pacific and are excited about the incremental expansion of our affordable brands in China and India. In Oceania, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales increased 8.3% in dollars and increased 11.9% on a currency-neutral basis. Turning to Latin America and the Caribbean. Net sales in Latin America, including Mexico and the Caribbean, in the 2025 second quarter decreased 7.8% in dollars and increased 1.7% on a currency-neutral basis over the same period in 2024. Slower growth in the region on a currency-neutral basis was primarily attributable to a change to the operating model in Argentina, lower net sales in certain countries primarily due to production challenges and adverse weather in the region, particularly in Brazil. Gross profit in this region as a percentage of net sales was 45.2% for the 2025 second quarter versus 45.8% in the 2024 second quarter. Net sales in Brazil in the second quarter decreased 1.3% in dollars but increased 10.4% on a currency-neutral basis. We are planning to launch Juice Monster Rio Punch in the 2025 third quarter. Net sales in Chile in the 2025 second quarter increased 4.6% in dollars and 4.2% on a currency-neutral basis. We are planning to launch Juice Monster Pipeline Punch in the 2025 third quarter. Net sales in Argentina in the 2025 second quarter decreased 33.9% in dollars and 30.2% on a currency-neutral basis. The net sales decrease in Argentina was partially due to lower per case revenues as a result of a change to operating model late in the first quarter of 2025 with the objective to better manage our foreign currency exposure. Net sales in Mexico decreased 7.0% in dollars and increased 10.8% on a currency-neutral basis in the 2025 second quarter. In the third quarter, we are planning to launch Monster Energy Ultra Strawberry Dreams and Predator Wild Berry. Turning to Monster Brewing. Monster Brewing results improved relative to the first quarter of 2025 but continue to face challenges in the second quarter. During the 2025 second quarter, we reduced headcount as part of our cost reduction plans. Net sales for the Alcohol Brands segment were $38 million in the 2025 second quarter, a decrease of approximately $3.6 million or 8.6% lower than the 2024 comparable quarter. We continue to plan for the launch of The Beast in certain international markets, subject to regulatory approvals. We are also planning further innovation in Monster Brewing in the coming months for example, a new Hard Lemonade lines, Blind lemon and [ Blinder Lemon ] began shipping nationally in July. During the 2025 second quarter, no shares of the company's common stock were repurchased as of August 6, 2025, approximately $500 million remained available for repurchase under the previously authorized repurchase program. Now turning to our July 2025 sales. We estimate that July 2025 sales on a non-foreign currency adjusted basis, were approximately 24.3% higher than the comparable July 2024 sales and 24.9% higher on a non-foreign currency adjusted basis, excluding the Alcohol Brands segment. We estimate that on a foreign currency adjusted basis, July 2025 sales were approximately 22.2% higher than the comparable July 2024 sales and 22.8% higher on a foreign currency adjusted basis, excluding the Alcohol Brands segment. July 2025 had the same number of selling days as July 2024. In this regard, we caution again that sales over a short period, often is proportionately impacted by various factors such as, for example, selling days, days of the week in which holidays fall, timing of new product launches, the timing of price increases and promotions in retail stores, distributor incentives as well as shifts in the timing of production. In some instances, our bottlers are responsible for production and determine their own production schedules. This affects the dates on which we invoice such bottlers. Furthermore, our bottling and distribution partners maintain inventory levels according to their own internal requirements which they may alter from time to time for their own business reasons. We iterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period. In conclusion, I would like to summarize some recent positive points. Our record quarterly net sales crossed the $2 billion threshold for the first time in the company's history. In addition, the percentage growth rates in reported gross profit, operating income, net income and earnings per share all outpaced our growth rate in net sales. The energy drink category continues to grow globally. We believe that household penetration continues to increase in the energy drink category growth opportunities in household penetration per capita consumption, along with consumers' needs for energy of positive factors for the category. We continue to expand ourselves in non-Nielsen-tracked channels. Globally, as measured by scanner data, consumer demand remained strong. In the United States, the energy drink category, as measured by Nielsen, accelerated in the 2025 second quarter compared to the 2025 first quarter with growth remaining strong in July. Monster sales at retail have followed a similar some trend. We continue to review opportunities for price increases domestically and internationally. We are excited for our innovation pipeline for 2025 and beyond. I would now like to open the floor to questions about the quarter.
Operator: [Operator Instructions] Today's first question comes from Dara Mohsenian with Morgan Stanley.
Dara Warren Mohsenian: The gross margin performance was particularly strong in Q2. Can you just talk about how sustainable some of those drivers might be going forward? You mentioned some modest tariff pressure going forward. So just any thoughts around higher aluminum costs and the impact going forward? And if you could just clarify, you mentioned some U.S. pricing in Q4. Is that more selective tactical adjustments? Or are you looking more to a broad type of price increase?
Hilton H. Schlosberg: Well, I think we mentioned that the price increase that is currently being explored will depend on packaging channel, so it's still a little premature to say exactly where it will fall out, but we are in discussions with our bottlers and customers. So turning to gross margins. I'm always been very passionate about gross margins and where the gross margins can end up in the company. But as we look at where we are in Q2 and we look forward into Q3 and we don't give guidance. So I've got to be careful what I say otherwise. I might get into trouble here with the lawyers. But we do see some modest pressures coming from tariffs in Q3. And in Q4, if the price increase has not materialized, but we think it will. We will see some reduction in -- through tariffs. But we do believe that the price increase will go some way towards overcoming that. And as I mentioned previously on many calls that we have a hedging strategy in place, so we are not totally exposed to the vicissitudes and changes in pricing in the LME but we are hedged to a limited extent in the Midwest premium which is where we'll see the impact of the tariffs.
Operator: And our next question today comes from Bonnie Herzog with Goldman Sachs.
Bonnie Lee Herzog: Maybe a quick follow-up. Question on that just in terms of your supply chain optimization efforts because Hilton, I know you've been working on that. So if you have any color that you can share with us and sort of where you're at in that process? And then I'd love to hear some color on the category because it's been very strong recently, especially in the U.S., up double digits. So if you could touch on some of the drivers of the recent strength and how sustainable this might be for the rest of the year and maybe into next?
Hilton H. Schlosberg: Okay. So let's talk first about supply chain optimization. What we've been able to achieve is a good balance between our own production which now accounts for probably just around 10% of our sales in the U.S. and a very well-balanced co-packing model. Our objective always has been to get the lowest delivered price to our customers. And that's been an objective and it's one of the reasons why we are not producing more in our Phoenix facility because we've got such a great balance of co-packers that are able to achieve that objective of the lowest landed cost price to our customers. So that's supply chain. Let's talk a little bit about the category. As we said earlier, when we spoke about July sales, sales trends in the category remains strong. Per scanner data, the category is up 13.2% in the last 4 weeks. Monster is up 12%, and our MC share, unfortunately has been impacted by the other brands, not Monster. And really, we've seen strong increases across all regions. We look at where we are in July and all of our regions are increasing nicely. So why has the market changed? At the end of the day, what we look at is that the pricing of our products at retail are very much competitive with comparable CSDs. And traditionally, there was a gap -- historically, there was a gap but now that gap is starting to close. And there's a strong appetite from consumers for functionality and a move towards our products and our competitors' products. So overall, innovation has driven the growth in the category and in our own sales. And also, there's this whole move that alcohol is not as appealing as historically it's been, and we believe that's creating more opportunities for energy and certainly more space for energy in the -- in customers' coolers. So there's nothing really more than I can add other than we're excited to be part of this category. And everyone was like kind of concerned last year, and I think at the time, we said that our belief was that there's a strong motivation, strong acceleration in the category and you're now seeing it. So I'm not sure I can add any more color, Bonnie.
Operator: And our next question today comes from Chris Carey at Wells Fargo Securities.
Christopher Michael Carey: I wanted to follow up just on the quarter-to-date number, exceptionally strong. Hilton you just said that all regions are growing. Is there any pull forward that you're seeing ahead of those pricing discussions? Any timing dynamics that we should be thinking about that's driving some of that strength? And then if I could just follow up on this broader topic of the energy drink category. It's been a really strong year. And certainly, we're already looking forward to next year and the sustainability of the category clearly, you're going to potentially have this pricing in Q4. But can you just talk about maybe what happened last year why you think the category slowed, whether it was a lack of innovation, lack of pricing and how you're starting to think about the next 12 months between strength of innovation. Obviously, you're going to have pricing. And any other tidbits that you might give us to lessen some of the anxiety as we start lapping the really strong performance. So thanks for the clarification on the quarter-to-date and sorry for the longer-winded question going into next year.
Hilton H. Schlosberg: Yes. Let's start with the longer question for next year. So there's an easy answer. We don't give guidance. So it's really hard for us to talk about 2026 other than to say that we've got a very strong innovation pipeline. And we're really excited about what will happen in the fall with our innovation, what's happening internationally with our innovation and what could happen in 2026 with our innovation program. Talking about what happened last year, it's -- it's kind of difficult because I don't think anyone knows. We surmised at the time that there were lots of issues. It was pre-election, consumers, there was high inflation. There's high gas prices. Consumers were holding back but we've always said -- and this -- we passionately believe that energy offers a need state it's a functional beverage. And we continue to see increased household penetration. We regard energy drinks as an affordable luxury. We're seeing a lot of growth of diets versus full sugar. I mentioned the NARTD price comparison. And there's been a big opportunity with the trend in coffee and the pricing trends in coffee. And also the impact on the coffee industry of the cold brews, which didn't do as successful as people expected. So there's a whole move towards why we believe this category is a good category and why we think it will continue to grow.
Operator: And our next question today comes from Steve Powers of Deutsche Bank.
Stephen Robert R. Powers: Hilton, case growth this quarter notably outpaced realized revenue growth, which obviously resulted in a lower all-in price per case in the quarter. I was hoping you could maybe break that apart a bit. You mentioned higher promotional investments this quarter. But obviously, we've also got mix factors both geographic and within the segments, strategic brands outpaced Monster. So just a little bit of if you could just dissect the different drivers of the lower price per case and just call anything that may be anomalous or unique to this quarter versus something that is more extrapolatable.
Hilton H. Schlosberg: I think you answered your own question, to be honest, because as we look at the quarter, 41% of sales internationally is kind of a first, and you know the impact of gross margin of international versus domestic. Secondly, we are internationally setting a significant amount now of affordable brands. And you correctly spoke about the Strategic Brands segment growing faster than the energy drink, the Monster Energy Drink segment in the quarter. So all of those factors, geographic mix, product mix, sales mix all contributed to the results that you're talking about.
Operator: And our next question today comes from Rob Ottenstein with Evercore.
Robert Edward Ottenstein: Hilton, early on in the call, you mentioned -- I couldn't quite follow. You mentioned something about I thought changing the visual identity on the Ultra line. And then there was something about Unleashed and I somehow it came in and out, and I didn't quite follow exactly what you're saying, but if maybe you could talk in a little bit more detail on what you are doing and why you're doing it, given that the Ultra line has been so successful?
Hilton H. Schlosberg: The Ultra line has been very successful, and it's -- of late, it's becoming even more successful. And all it is, is an objective to establish the Ultra line given a separate identity with a silver claw very similar to what we have today but have separate coolers to be able to better merchandise the product. So it will have a new visual identity, it will have better space through increased cooler capacity and its own coolers and again, commercial stacks on stores, cases on the floor and we are great believers in that part of the business. And I think you probably noticed as probably a lot of our investors have noticed, a lot of our analysts is there's a whole kind of viral campaign on Zero Ultra in EMEA that's carried through to the U.S. and there's a significant amount of passion that we're using to build upon to really market that line more effectively.
Operator: Thank you. This concludes our question-and-answer session. I'd like to turn the conference back over to Hilton Schlosberg for closing remarks.
Hilton H. Schlosberg: Thank you. On behalf of Monster, I'd like to thank everyone for their continued interest in the company. I remain confident in the strength of our brands and the talent of not only our executive management team but also our entire family -- Monster family throughout the world, and I'm excited to be working with them all. We continue to believe in the company and our growth strategy and remain committed to continuing to innovate, develop and differentiate our brands and to expand the company both at home and abroad and in particular, capitalizing on our relationship with the Coca-Cola bottler system we believe that we are well positioned in the beverage industry and continue to be optimistic about the future of our company. Thank you for your attendance.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.